Operator: Good day, ladies and gentlemen, and welcome to Cornerstone OnDemand Second Quarter 2018 Earnings Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. As a reminder, this conference call is being recorded. And now, I'll turn the call over to Jennifer Gianola, VP of Investor Relations for Cornerstone OnDemand.
Jennifer Gianola - Cornerstone OnDemand, Inc.: Good afternoon, everyone, and welcome to Cornerstone OnDemand's second quarter 2018 earnings conference call. As always, today's call will begin with Adam Miller, Chief Executive Officer, who will provide an overview of our performance, and then Brian Swartz, Chief Financial Officer, will review some key financial results for the quarter, which ended on June 30, 2018. Later, we will conduct a question-and-answer session. By now, you should have received a copy of our press release, which was released after the market closed today, and was furnished with the SEC on form 8-K. You can also access the press release and its related investor materials, including detailed financials, on our Investor Relations website. As a reminder, today's call is being recorded, and a replay will be made available following the conclusion of the call. Our discussion will include forward-looking statements, including, but not limited to, statements regarding the expected performance of our business, our future financial and operating performance, including our GAAP and non-GAAP guidance, strategy, long-term growth and overall future prospects. Forward-looking statements involve risks, uncertainties, and assumptions. These risks, uncertainties and assumptions, as well as other factors that could cause results to differ materially from those contained in our forward-looking statements are included in our most recent form 10-K, and subsequent periodic filings with the SEC. During the call, we will be referring to both GAAP and non-GAAP financial measures. All financial figures discussed today are non-GAAP, unless we state that the measure is a GAAP number. The reconciliation of our GAAP to non-GAAP information is provided in the press release and on our website. Please note that we have made some changes to our disclosures, in part due to the new ASC 606 Revenue Recognition Standard. All financial figures discussed today are on the ASC 606 basis, unless we state that the value is an ASC 605 basis. Please refer to our press release and supplemental financial deck on our Investor Relations website for a summary of changes to the non-GAAP financial measures. With that, I will turn the call over to Adam.
Adam Miller - Cornerstone OnDemand, Inc.: Thanks, Jennifer and thank you to everyone, for joining us today. Since November, we have been executing against our five-point plan to transform Cornerstone into an industry-leading high-margin-growth company. Today, I'm pleased to report that we have continued to make strong progress against that plan, and it is working, as demonstrated by our solid performance in the quarter, and through the first half of this year. Let's start with the latest developments of our transformation plan, and then I'll provide more color on our quarterly performance and product roadmap. As previously discussed, the first point of the plan is a renewed focus on recurring revenue. To that end, we exited the services delivery business by transitioning one-time implementation services to delivery partners, and we eliminated quota credit and commissions for all non-recurring sales. These changes resulted in a dramatic shift in our new ARR mix. Through the first half of the year, sales from one-time services decreased by approximately 60%, year-over-year. On the flipside, during the same period, recurring sales grew over 30%. As we have made this transition, our partner ecosystem has responded by expanding their Cornerstone practices. We now have more than 400 certified consultants who have completed more than 900 product certifications to-date. With nearly 150 new consultants added to our partner ecosystem and more than 200 new products certifications earned since January, our partner ecosystem has seen significant growth this year as it ramped up to support increased demand in growing pipelines. We expect the broader partner ecosystem will continue to grow and influence client wins as we combine forces on lead generation, account planning, marketing, and systems integrations. The second point of our plan is to improve operating margins and free cash flow. With the December 2017 workforce reduction behind us, we are now operating as a leaner, stronger team, in line with our plan to get fit and grow. Sales rep productivity through the first half of 2018, as defined by new ARR per rep, was up over 50% year-over-year. In addition, Q2 saw significant achievements in our operational excellence initiatives, resulting in operational improvements across the organization. First, our finance and operations teams reached a major milestone in Q2, with the go live of an important Salesforce to Netsuite integration. This integration is expected to improve productivity for our accounting team. Second, our field operations team made strong progress towards our goal of world class business intelligence. With the help of Salesforce's Einstein dashboards, we now have the ability to analyze the real-time performance of our field sales teams around the world, across a wide range of metrics. Third, as part of our ongoing strategic sourcing initiatives, we have made meaningful strides in re-engineering our procure-to-pay process with best practice vendor engagement, bidding, and negotiating enabled by leading procure-to-pay technology. We implemented Coupa in the U.S. and in EMEA in Q2, which facilitates repeatability and scalability, while promoting visibility and control around spend management. These changes, which represent a large step forward in the evolution of our business infrastructure, are expected to help Cornerstone further optimize its spend, particularly in the areas of technology, marketing, services, and G&A. Beyond these improvements, we believe there are incremental efficiencies to be gained through further strategic sourcing, automation, and process improvement initiatives. We believe these improvements will flow through to free cash flow. The third point of our plan is the development of new recurring revenue streams. The most notable of these are the new Content Anytime subscription offerings we launched in Q4 of last year, and began selling through our global sales team at the beginning of this year. We've talked about the momentum we've had in the content area since launching Content Anytime, and that trend has continued. In the second quarter, we had our largest content sale in Cornerstone's history. It almost tripled the number of Content Anytime wins from the prior quarter, which resulted in nearly 200% growth in content sales from the prior year. Albeit, based on a relatively small scale. Although we are still in the very early stages of our content offering, we maintain our belief that content has the potential to become as large as our entire learning business, over time, which was approximately $225 million in annual recurring revenue in 2017. To further drive adoption of our content offerings, we recently announced the planned rollout of additional Content Anytime subscriptions that are curated for specific industries, regions, job functions, and thematic areas, such as digital transformation. In addition, to content, we've had success converting some of our non-recurring services into recurring offerings. We've seen strong attach rates across our installed base of our new client success packages, and have been able to move some of our technical services to recurring technical services, further supporting the growth of new recurring revenue. The fourth point of our strategic plan involves bolstering the management team to help us scale. In addition to the many new senior executives we've announced this year, we have been strengthening management at all levels of the business around the world, through a combination of internal promotions and external appointments. Through all of the change, the strength of our Cornerstone culture has been a critical factor contributing to our success. The fifth and final point of the plan involves strengthening corporate governance. At the June 2018 Annual Meeting of Stockholders, the shareholders approved the appointment of three accomplished software industry CEOs; Elisa Steele, Richard Haddrill, and Marcus Ryu to the board. Ms. Steele was also appointed to serve as the Chair of the board. In addition, the shareholders approved the declassification and annual election of the board of directors starting in 2019. While, much more work is required to achieve our financial and operational goals, we have clearly demonstrated strong progress against our strategic transformation plan. Now, let's discuss our Q2 performance in more detail. Second quarter subscription revenue came in above our guidance at $115 million, representing reported growth of 19% year over year, and constant currency growth of 17% year over year. Through the first half of the year, subscription revenue saw year-over-year growth of 20%, and constant currency growth of 17%. In addition, we continue to see improvements in profitability, with $13 million in operating income, or 10% in operating margin for the quarter. Through the first half of the year, we generated $26 million in operating income, resulting in a 10% operating margin. In the second quarter, we expanded our organically-grown client base to more than 3,300 enterprise and mid-market organizations from all over the world. New client additions include the world's largest social network, CHN Industrial (sic) [CNH Industrial] in Italy, a leading Swiss pharmaceutical company, Textron, SSAB in Poland, the leading bank in Morocco, Jebsen Group in Hong Kong, CoreCivic, Dyson James Group (sic) [Dyson Limited] in the UK, BPW in Germany, the largest trading company in Taiwan, and GEFCO SA in France, among many more. Today, our client base includes global leaders in virtually every vertical, which has enabled us to build one of the largest subscriber bases of any software provider in the world, with nearly 37 million subscribers. Our solid performance for the quarter was driven by success across many teams. Our public sector team, which now includes federal, state and local, K-12, higher ed, and healthcare, saw its strongest quarter. To name just a few public sector wins in the quarter, we added the Virginia Department of Fire Programs, the California Department of Consumer Affairs, the City of Bellevue, Washington, in state and local, the Alabama Community College System, and Portland Community College in higher ed, the Irvine Unified School District in K-12, and DHC Healthcare (13:18), Catholic Health Initiatives, and Cardinal Health in healthcare. The public sector, which has often lagged the private sector by three to four years, is now in the early stages of undergoing a major digital transformation. We believe our existing presence in the public sector, combined with our commitment to product innovation is positioning Cornerstone as the premier talent partner for public sector agencies that are transitioning to the cloud. The remaining teams in North America were also strong contributors in the quarter, delivering new ARR growth of 50% year over year, led by a particularly strong performance from the North American enterprise team, one of our largest wins in the quarter came from a Fortune 10 technology company who outgrew their internally developed learning management system. The client purchased our Learning Suite for 75,000 users, to support their compliance-heavy requirements, and global learning needs. Another large win in the quarter came from an American global aerospace and defense company, who purchased the Cornerstone Learning Suite against incumbent SAP, due to our superior support capabilities, and ability to incorporate client feedback into our product roadmap. Abroad, we saw continued success in EMEA. The client sales team had its strongest quarter ever, and saw our installed base of clients increase their Cornerstone footprint with incremental modules, including Cornerstone HR, and new recurring revenue streams, such as content and client support packages. The UK, France, and Italy were the strongest performers in the quarter, and we further cemented our presence in the region with the opening of new data centers in France and Germany. Even with all of the organizational change in sales activity, we have not stopped driving innovation. We have drastically improved our Recruiting Suite. Our May release enabled a cutting-edge candidate experience and a streamlined recruiter experience to enable more efficient candidate management. With our August release, we enabled ultra-high volume recruiting to help some of the world's largest organizations to attract the right employees. Within our Performance Suite, our redesigned career center, which we previewed in June at Convergence, will provide a central place to manage all career resources, applications, and referrals, while making it easier for employees to explore suggested career paths and the skills needed for specific positions. On the learning front, we further expanded our content and learning partners with premiere learning content providers, including Bookboon, ENI, Pluralsight, and Whil. And we developed new learning integrations with Facebook and LinkedIn, to weave learning into the daily flow of work for employees. We also continued to enhance our learning experience platform to give our users a Netflix-like experience when developing themselves. Within the HR Suite, we continue to enhance our employee and manager self-service capabilities, user record functionality, collaborative workforce planning, and analytics. Our ongoing innovation continues to garner significant industry recognition. In July 2018, Cornerstone was named a leader in all 2018 IDC Marketscape reports on integrated talent management, including learning, performance and compensation management. In addition, IDC's Worldwide Human Capital Management report, published in June 2018, highlighted Cornerstone as a, "significant force in the talent management suite market," and identified Cornerstone as one of the top three fastest-growing pure-play cloud vendors. For the fifth year in a row, Aragon Research, ranked Cornerstone Learning as a leader in the 2018 Globe for Corporate Learning report, based on completeness of strategy and performance. And in May, Cornerstone was recognized as a leader in the 2018 NelsonHall Next Generation ECM Technology Vendor Evaluation for the mid-to-large focus segment. I would like to point out that the recognition by NelsonHall marks the third time in 12 months that independent analysts have named Cornerstone as an HCM leader in their reports, further endorsing the validity and demand for our HR Suite offering. As you can see, even while rapidly transforming our company in delivering strong business results, we have continued to innovate. With that, I'd like to turn it over to Brian, to discuss our second quarter financial performance and outlook in more detail.
Brian L. Swartz - Cornerstone OnDemand, Inc.: Thank you, Adam, and good afternoon, everyone. As Adam just discussed, our performance in Q2 showed strong progress in growing recurring revenue and improving profitability. Although we still have a lot of work to do to achieve our long-term goals, we're pleased with our performance so far this year. In the second quarter, total revenue came in at $133 million, representing a year-over-year increase of 14%, or 11% on a constant currency basis. With respect to annual recurring revenue, also known as ARR, we are pleased with our progress for the first half of the year. And accordingly, we're raising our full-year guidance, which I will discuss shortly. Subscription revenue exceeded the high end of the guidance range by $2 million, coming in at $115 million, representing a year-over-year increase of 19%, or 17% on a constant currency basis. Under ASC 605, subscription revenue growth was 21%, or 19% on a constant currency basis. This outperformance was primarily related to better linearity in the quarter. Services revenue in Q2 came in at $18 million, which is nearly $2 million more than we had expected. This is due to us intentionally driving down our services backlog, as we exit the enterprise implementation business, which we've been able to do at a faster pace than we expected. Even while we've aggressively burned down the backlog, we continue to pay for certain services when client success demands it. A few other key Q2 metrics, the size of our client base increased to 3,363 as of June 30, representing 83 net new client additions during the quarter. We remain keenly focused on maintaining our industry-leading dollar-based retention rates through disciplined operating procedures driving renewals and client satisfaction. We added more than 600,000 net users during the quarter, bringing our user base to approximately 37 million users. It's worth noting that while user growth represents a tremendous future opportunity for us, we expect our revenue growth to be less correlated to user growth as we move forward. This is primarily due to selling multiple suite offerings, several product add-ons, including content and Cornerstone HR, and having a very large install base in general. Furthermore, we have 1,851 employees as of June 30, representing a 4% decrease over the prior year. Our gross margin was 73% in the second quarter, representing 60 basis points of improvement from the prior year. The improvement in gross margin was driven by a higher mix of subscription revenue. With respect to operating expenses for the quarter, sales and marketing expense maintained its record low, 40% of revenue in Q2, driven largely by reduced sales head count, and improved sales execution. To give you some perspective, just two years ago, in Q2 of 2016, sales and marketing expense was 48% of revenue, or 800 basis points higher than it is today. Going forward, we expect further improvements in sales efficiency, as we continue to improve our sales management processes, and achieve productivity improvements. Continuing down the P&L, R&D expense was 11% of revenue, in line with the prior year. I'd like to point out that R&D expense, including capitalized software development costs for the quarter, was $20 million, or 15% of revenue, also in line with the prior year. In the second quarter, G&A was 13% of revenue, representing a year-over-year improvement of 100 basis points, largely attributable to early automation gains. We expect to see further G&A optimization over time, as our operational excellence initiatives are fully implemented. Overall, this resulted in a Q2 operating income of $13 million, or a 10% margin, which represents a 900 basis points improvement from the prior-year operating margin of 1%. This is largely driven by a 700 basis point improvement in sales and marketing expense, as a percentage of revenue. Net income for the quarter was $8 million, or $0.12 per diluted share, compared to $0.02 in the prior year. It's also worth noting that our new, 2021 convertible note is not dilutive to our share count in the EPS calculation until we generate roughly $170 million in net income. With regard to cash flow, unlevered free cash flow improved year-over-year by nearly $13 million, to $8 million in the second quarter, representing an unlevered free cash flow margin of 6%. We exceeded our expectations on quarterly cash flow, primarily due to timing, driven by billing and collection process improvements, as well as $3 million of cash payments associated with our new France and Germany data centers that were deferred to Q2, rather, Q3. As Adam mentioned, the new European data centers went live as planned in Q2. Now let's turn to the balance sheet. We continue to maintain a well-capitalized balance sheet. As of June 30, we had $645 million of cash and investments. Additionally, we had $540 million in carrying value of debt. After quarter end, we used approximately $253 million of our cash and investments to pay off our 2013 convertible notes, which came due on July 1. In November of 2017 our board of directors authorized $100 million share repurchase program. In the second quarter, we repurchased approximately 444,000 shares totaling $21 million. From inception through last Friday, we repurchased $1.5 million shares, at an average cost of about $40 per share, for a total of $61 million. Now let's turn to our 2018 outlook, which has been developed using the best information we have, as of today. Please note, we have included a supplemental financial deck on our Investor Relations website, to best follow along and discuss our updated guidance. As a reminder, all guidance assumes ASC 606, but you can view the ASC 605 guidance, for comparative purposes, in the supplemental deck. Our guidance has been impacted by currency headwinds, resulting from the strengthening of the U.S. dollar, relative to the British pound and euro since we last issued guidance on our Q1 earnings call. Specifically, the U.S. dollar strengthening has resulted in a revenue headwind of $4 million, and an ARR headwind of roughly $5 million. Our current guidance assumes the U.S. dollar to British pound exchange rate of $1.30 to £1, down from $1.36 at the time of our last earnings call, and a U.S. dollar-to-euro exchange rate of $1.16 to €1, down from $1.20 at the time of our last earnings call. If the U.S. dollar were to further change by 5%, the impact is approximately $7 million to ARR and $4 million to revenue. As I mentioned earlier, I encourage you to reference the supplemental financial deck as I discuss the following guidance. For the third quarter of 2018, we expect total revenue in the range of $129 million to $131 million, and subscription revenue in the range of $115 million to $117 million. At the mid-point of $116 million for subscription revenue, this represents approximately 15% reported and constant currency growth. On an ASC 605 basis, these growth rates are approximately 2 points higher, at 17% each. Regarding full-year revenue guidance, we are raising our currency-neutral guidance from $503 million to $511 million, to a range of $524 million to $530 million, which increases the midpoint by $20 million. On a reported basis, those numbers are impacted by $4 million of currency headwinds, resulting in an increase to the midpoint of $16 million for an expected reported range of $520 to $526 million. We are also raising our currency-neutral full-year subscription revenue guidance from a range of $453 million to $461 million, to a range of $463 million to $469 million, which increases the midpoint by $9 million. On a reported basis, those numbers are also impacted by $3 million of currency headwinds, resulting in an increase to the midpoint of $6 million for an expected reported range of $460 million to $466 million. At the subscription revenue midpoint of $463 million, this represents approximately 17% reported growth, and 16% constant currency growth. On an ASC 605 basis, these growth rates are approximately 1 point higher, at 18% and 17%, respectively. I would like to remind you that total revenue guidance reflects our best estimate of the pace at which services revenue would roll off to our partners. As we continue to move service projects to our partners, we currently believe services revenue will be down 30% in the third quarter, and 30% for the full year, both on a year-over-year basis. The pace of the roll off could be meaningfully faster or slower, which would impact total revenue, but not our subscription revenue. Our goal is to have our Q4 services revenue represent our ongoing run rate, which would imply quarterly services revenue of about $10 million in 2019. Given the strength and new ARR so far this year, and our best estimate for the second half of the year, we are raising our currency-neutral full-year ARR guidance range from $477 million to $495 million, to a range of $489 million to $505 million, which increases the midpoint by $11 million. On a reported basis, those numbers are impacted by $5 million of currency headwinds, resulting in an increase to the midpoint of $6 million, for an expected reported range of $484 million to $500 million. At the midpoint, this represents approximately 12% reported growth and 13% constant currency growth over the 2017 ARR of $439 million. As you think about modeling our business, please be mindful that our strong performance in the first half of 2018 included some large deal execution. Our top three deals represent a nearly 15% of new ARR in the first half of 2018, which is more than double the percentage from the first half of 2017. As I previously mentioned, we will only disclose ARR for the full year, as it is best viewed on an annual basis, given the seasonality of our business. Moving onto profitability, we are raising our currency-neutral 2018 operating income to a range of $59 million to $65 million, which increases the midpoint by $4 million. On a reported basis, these numbers are impacted by $1 million of currency headwinds, resulting in an increase to the midpoint of $3 million for an expected reported range of $58 million to $64 million. This results in an operating margin of 11% to 12%. It's worth noting that just over 50% of the $20 million increase in currency-neutral revenue is services-related, which has little impact on operating income. The remaining $9 million of currency-neutral subscription revenue drives approximately $4 million of higher operating income for the year. We have opted to take some of the incremental profitability and invest it back into the business, to drive operational improvement initiatives. Also please note that the pace at which the services revenue rolls off should have very little impact on the dollars of operating profit, but will impact operating margin. For Q3, we expect operating income to improve slightly from the Q2 operating income of $13 million. Regarding cash flow for the full-year 2018, we are raising our currency-neutral unlevered free cash flow guidance range from $52 million to $60 million, to a range of $57 million to $63 million, which increases the midpoint by $4 million. Similar to operating income, on a reported basis, these numbers are impacted by $1 million of currency headwinds, resulting in an increase to the midpoint of $3 million, for an expected reported range of $56 million to $62 million. Please note, this excludes $14 million of cash interest expense. Assuming services revenue is down 30% by the end of 2018, this amounts to an unlevered free cash flow margin of 11% to 12%. As I discussed at the Financial Analyst and Investor Day, there are two significant items impacting the 2018 cash flow that should be highlighted. The first is CapEx associated with new Paris and Frankfurt data centers, which impacts the margin by about 1 percentage point. The second is the working capital impact of exiting the services business, which should impact the margin by an additional 3 percentage points. We do not expect this roughly four-point hit to free cash flow margins to reoccur in future years. Regarding the timing of the second half unlevered free cash flows, we expect the remaining $61 million, which is the mid-point of our full-year guide, to be split roughly 40% in Q3, and 60% in Q4. With respect to long-term margin targets, as we discussed at the Financial Analyst and Investor Day, we believe the ongoing transformation of our business will result in achieving the Rule of 40, which we define as the sum of annual revenue growth and unlevered free cash flow margin by 2020. As you can see, in our Supplemental Financial Deck, although there are various scenarios that can get us there, assuming we maintain moderate top-line subscription revenue growth, we believe we can generate roughly $150 million in unlevered free cash flow or approximately $2 per diluted share by 2020. Finally, I'd like to announce that we plan to attend several upcoming investor conferences this quarter, including the Canaccord Genuity 38th Annual Growth Conference, the Piper Jaffray Tech Select Conference, and the Deutsche Bank Technology Conference. We will also be marketing in Baltimore, Pennsylvania, New Jersey, Denver, Houston, Dallas and Austin. If you would like to participate in any of those meetings, please reach out to our Investor Relations team. In summary, we are pleased with our performance for the first half of the year and believe we are on track for a solid 2018. With that, I'll turn it back to Adam.
Adam Miller - Cornerstone OnDemand, Inc.: Thanks, Brian, and thank you to everyone who joined us today. As we have discussed, we are pleased with the continued progress we have made against all aspects of our transformation plan, and the continued early indicators of success. We believe these changes are laying the foundation for a stronger, fitter Cornerstone, and will drive better financial results and business impact for our global stakeholders into the future. We will now take your questions.
Operator: Thank you. Our first question comes from the line of Alex Zukin of Piper Jaffray. Your line is open.
Alex J. Zukin - Piper Jaffray & Co.: Hey, guys, thanks for taking my questions. So Adam, your results are starting to show much more consistency from our vantage point. Can you speak today what you're seeing in your sales org as you look at rep productivity? And when do we get to start thinking about layering on more capacity? And I've got a quick follow-up.
Adam Miller - Cornerstone OnDemand, Inc.: Yeah, so as you know, we reduced the size of the global sales force at the end of last year. We have seen a dramatic increase in rep productivity, as I said during the prepared remarks, over 50% increase in rep productivity this year, looking at annual recurring revenue. And we think there's more room to go in the future. As we continue to refine our messaging, our positioning, as our products continue to improve, and as our reps become more and more tenured, we've also seen very good stability on the sales force, and we see that globally. So all of that is helping with our competitive positioning, and helping with rep productivity. And we think there's more room for improvement.
Alex J. Zukin - Piper Jaffray & Co.: Got it. And Brian, you mentioned some interesting statistics about kind of large deals in the first half of the year, with respect to last year. I'm curious if you could comment on whether these large deals, you feel like, signed earlier than you would have expected? And maybe, how does your large deal pipeline compare to the second half of the year versus this time last year?
Brian L. Swartz - Cornerstone OnDemand, Inc.: Yeah, so I'll let Adam kind of generally talk about the pipeline. But what I will tell you, Alex, they did not sign earlier than we just expected. We executed those deals in the first half. And I was simply highlighting that because as you and others start thinking about your views of 2019 and 2020, I wanted you to understand that there's a greater concentration of new bookings or new ARR in the first half than we've traditionally seen. So, we'll see how the second half plays out and talk more about it in future quarters. But that was the point of me trying to highlight that.
Alex J. Zukin - Piper Jaffray & Co.: Got it. Thanks again, guys. Good quarter.
Adam Miller - Cornerstone OnDemand, Inc.: Generally, we've had good success with large deals. We've seen that, obviously, last year. We saw that in the first half of this year. And we think that will continue into the future.
Operator: Thank you. Our next question comes from the line of Scott Berg of Needham. Your line is open.
Scott Berg - Needham & Co. LLC: Hey, Brian and Adam. Thanks for taking my questions. Congrats on a great quarter.
Brian L. Swartz - Cornerstone OnDemand, Inc.: Thank you.
Scott Berg - Needham & Co. LLC: I had to jump on late, so I apologize if any of this was asked. I just wanted to see if you could, maybe Adam, help us unpack the ARR guide, or maybe Brian. And I view that in terms of, is there a product set that's materially selling better year-to-date than what you would have thought? Obviously you guys do Learning and Performance well. You've got a couple new products. Just trying to help us understand maybe if there's a product or two driving the incremental ARR?
Adam Miller - Cornerstone OnDemand, Inc.: Yeah, I would say there's nothing unusual about the product mix. I think we're seeing good results across the board. Obviously, we added some new recurring revenue streams, like content and our client success packages, but generally, we're just seeing good rep productivity around the world. And we're seeing it across all teams.
Scott Berg - Needham & Co. LLC: That was helpful. Then my follow-up is along the sales side as well is, we've had some pretty good checks, I think, on the content side of your business, in terms of general pipeline traction there. Is that a product you think you can sell net new today? Or is it still viewed, maybe, more as an up-sell to existing LMS charges (39:12)? Thank you.
Adam Miller - Cornerstone OnDemand, Inc.: No, we are absolutely selling it both ways, both to existing clients and with net new deals.
Scott Berg - Needham & Co. LLC: That's all I have. I'll jump in the queue.
Adam Miller - Cornerstone OnDemand, Inc.: Thank you.
Brian L. Swartz - Cornerstone OnDemand, Inc.: Thanks, Scott.
Operator: Thank you. Our next question comes from the line of Brad Sills of Bank of America Merrill Lynch. Your question, please.
Bradley Sills - Bank of America Merrill Lynch: Oh, great. Thanks, guys, for taking my questions. Just one on the content business, are there any verticals there that you feel, or you're already seeing some traction in? Maybe some where you're investing in that you could see traction going forward, just in terms of the partners that are providing that content?
Adam Miller - Cornerstone OnDemand, Inc.: Yeah, so there's been no concentration to-date. We've actually seen pretty good success with content across segments, across geographies, and across verticals. Having said that, we think there is a very large opportunity to verticalize our content subscriptions. It's something that we are focused on doing over the next few months. And we are strong believers in the healthcare verticals, specifically. We think there's a lot of opportunity to sell more content to that vertical. We also think there's opportunity regionally. So, regionally-specific, Content Anytime subscription libraries, for example, in France, in Germany, and in Spanish-speaking countries. So, we think there's a lot of opportunity ahead. Right now, we've been focused on what we call Content Anytime Essentials, and that's seen good response around the world already.
Bradley Sills - Bank of America Merrill Lynch: Great, thanks. And then one more, if I may, please? You mentioned Cornerstone HR is strong. I presume that's primarily Europe. Any plans to bring that into the U.S.?
Adam Miller - Cornerstone OnDemand, Inc.: Yeah, so that is almost exclusively Europe. When we talk about Cornerstone HR, we do sell it in other parts of the world. But we have not been selling it in the U.S., and don't intend to over the next year or so. But over the longer-term, absolutely, we will bring Cornerstone HR to the U.S.
Bradley Sills - Bank of America Merrill Lynch: Great. Thanks, Adam.
Adam Miller - Cornerstone OnDemand, Inc.: Thank you.
Operator: Thank you. Our next question comes from the line of Justin Furby of William Blair & Company. Your line is open.
Justin A. Furby - William Blair & Co. LLC: Thanks, guys, and congrats on the quarter. I guess, a couple of questions. Maybe to start, Adam, the productivity increase you're seeing, can you unpack that between the back-to-base team doing a better job selling incremental modules versus the hunters showing more productivity? Or is that really just looking at the hunter team, when you gave that metric?
Adam Miller - Cornerstone OnDemand, Inc.: No, it's both. It's across the board. We've seen improvements in productivity on all teams. I would say it's attributed to a couple of things. One is an extreme focus on recurring revenue. So, we took away, as everybody knows, at the beginning of the year, commissions and quota credit for non-recurring business. That got our sales team very focused on driving recurring revenue. And the results are very clear. We also introduced new recurring revenue streams, Content Anytime, client success packages, the connectors that we offer on the technical services front. And all of that provides incremental opportunity for those same sales reps, which has helped them drive increased productivity. And, again, we think there's opportunity to keep growing rep productivity into the future.
Justin A. Furby - William Blair & Co. LLC: Got it. And then, if you look at the subscription revenue just sequentially, I think you added a little less than $2 million this quarter versus last, and your guidance is kind of a similar amount. I think that currency takes a little bit out of it, but it looks like you guys are adding a fair amount less quarter-over-quarter than you were last year. I'm just trying to reconcile that with the bookings. And maybe you can hit on retention and what you're seeing there through the first half of the year versus last year, if there's something else we're missing? Thanks.
Brian L. Swartz - Cornerstone OnDemand, Inc.: Yeah, Justin. So, keep in mind it's obviously all trailing, so the way the deferred revenue waterfalls flow off is many of the bookings still from last year are sequentially changing subscription revenue, like from Q2 to Q3. It's more of a function of bookings last year than necessarily bookings directly in Q1 or Q2. So, you've got the impact of kind of the last four quarters rolling out. And it's just what we're seeing in waterfalls when you do that. So, you'll see a greater – assuming our momentum continues into Q3 and Q4, I would expect in next year that you would see the sequential increase in subscription revenue to be more than what you're seeing now in Q1, Q2, and Q3, if that makes sense. And then with respect to retention, we continue to stay focused on that, as you know. It's not something we comment on kind of inter-quarter, but we do obviously disclose the dollar-based retention at the end of the year. And it's an area of big focus for us. In particular, Jeff Lautenbach, our President, has been working with the ops teams to just be more disciplined around managing renewals in general, which obviously will impact the dollar-based retention. So, we are very focused on it, and we'll talk more about it here in the coming quarters.
Justin A. Furby - William Blair & Co. LLC: Great. Thanks very much.
Operator: Thank you. Our next question comes from the line of Mark Murphy, of JPMorgan. Please go ahead.
Pinjalim Bora - JPMorgan Securities LLC: Hi. Hey, this is Pinjalim, sitting in for Mark. Thank you for taking my questions. Congrats on the quarter. Adam, just taking a step back, as you look ahead at the second half of this year and 2019, has your assumptions changed across the various growth vectors like international, federal, strategic, mid-market, content? Are you stacking your bets incrementally more on a few and maybe some are still wild cards?
Adam Miller - Cornerstone OnDemand, Inc.: Yeah, that's a good question. I think the opportunity remains across a variety of growth vectors. And those include everything from upsale of product like Recruiting and Cornerstone HR, to the new business unit around content, to continued upsale of the newer recurring revenue streams like client success packages and connectors to the international opportunities. We're seeing good long-term opportunity in Asia-Pacific and Japan. We think there's nice long-term opportunity in Latin America. And we continue to see very good growth, obviously, both domestically with the public sector team, and internationally, with our EMEA team. So we don't view these as mutually exclusive. We think there's opportunities across all these segments and all these areas. And our perception around potential attach rates and potential market penetration remains consistent for a while now. So we think there's a lot of long-term opportunity here.
Pinjalim Bora - JPMorgan Securities LLC: Got it. Thank you. And one more if I can. I just wanted to go back to the retention rate question, and just double-click on the comment that you had made a couple of or last quarter was it, about the churn in the mid-market. Are you seeing any change in the churn there, good or bad?
Adam Miller - Cornerstone OnDemand, Inc.: Yeah, so as we said last quarter, that was somewhat an anomaly, due to the fact that we had a peak period of low-end sales three years prior, and we think that will now naturally smooth out over time. And you could see that, obviously, this quarter, with a much stronger client add, on a net basis.
Pinjalim Bora - JPMorgan Securities LLC: Okay. Thank you.
Brian L. Swartz - Cornerstone OnDemand, Inc.: And just to add there, too, what Adam's referring to in Q1 where we did have a lower net client adds, as he said those represent the low end of the market, the average ARR for those clients dramatically below the average for the company. And this has happened before, too. If you recall like the Q2 of 2016, we saw a similar phenomenon on a unit basis versus a dollar basis. So it happens periodically, just the nature of the client base, and when renewals come up, and when they renew, or don't renew, so...
Pinjalim Bora - JPMorgan Securities LLC: Understood. Thanks, Brian.
Operator: Our next question comes from the line of Jesse Hulsing of Goldman Sachs. Your line is open.
Jesse Hulsing - Goldman Sachs & Co. LLC: Yeah, thank you. Adam, can you give us a sense of how content's trending, versus your plan? I guess both, so far, over the last couple quarters, and also, if you look at your pipeline, how is that trending versus plan? And what do you think it can contribute this year to ARR?
Adam Miller - Cornerstone OnDemand, Inc.: Yeah, so specifically on the content point, we're feeling really good about our progress to-date. Obviously, up 200%, year over year. And we saw the largest deal we've ever done happen in Q2. We're seeing really good momentum across geographies, across verticals. And this is before we introduced the full product set. So this is really an early adopter phase, if you think about it, because the product is limited. We only have the Cornerstone Content Anytime Essentials subscription. There will be many more subscriptions over time, and we think there's a lot of runway here. As we've said before, we think this could become as large as our Learning business, which at the end of 2017, was about $225 million in recurring revenue. So we're feeling very good about our traction. We're feeling very good about our momentum. And we think this can become a meaningful part of our business. Obviously, right now, it's still relatively small. And a meaningful, but not significant contributor to ARR for 2018.
Jesse Hulsing - Goldman Sachs & Co. LLC: That's helpful. And on the large deals, it sounds like things are trending better there. Is that a timing thing? Is it a competitive or market dynamic, or is it just better execution? I guess I'm trying to suss out the sustainability of the large deal trend, as you move forward.
Adam Miller - Cornerstone OnDemand, Inc.: Yeah, look, we've consistently been doing large deals now for a long period of time. I think it varies, what vertical has activity. It varies, in some times, what geography has activity. But we have now seen as a company, globally, fairly consistent business up-market, and we think there's more opportunity ahead, particularly as we refine our marketing in that segment. We're starting now with a new CMO in place to do account-based marketing, to be much more surgical about how we're marketing up-market. And we think that's going to create better opportunity for us, and probably even more big deals into the future.
Jesse Hulsing - Goldman Sachs & Co. LLC: Thank you.
Adam Miller - Cornerstone OnDemand, Inc.: Thank you.
Operator: Our next question comes from the line of Siti Panigrahi of Wells Fargo. Your line is open.
Siti Panigrahi - Wells Fargo Securities LLC: Thanks for taking my question. I just wanted to dig into the competitive landscape. How has that been evolving, especially you compete with some of the traditional vendor like SumTotal and Saba and then ERP then just also kind of picking up. Just wondering, who are you winning against, at this point? Any color would be great.
Adam Miller - Cornerstone OnDemand, Inc.: Yeah, I'd say the competitive landscape has been relatively consistent over the past several quarters. And we expect that to continue in the near-term. There were some upstarts that were in this space that were making some noise, gaining some traction, but we've seen that get somewhat diluted more recently. You have the legacy players, like Saba and SumTotal, who are still out there. But they've been long-term competitors of ours. They compete predominantly on price at this point. And our innovation continues to outpace them. And then we compete with the ERPs. As I've said in the past calls, our biggest competitor, by far, remains SAP. And we still see them as our number one competitor around the world, across verticals. And our win rate continues to improve relative to them and to others. So we're seeing lots of opportunity. We're seeing good positioning in Europe. We're seeing the ability to compete even in full HCM deals. And that creates more opportunity for us around the world. So we're feeling good about the competitive landscape, generally. And as I mentioned a few minutes ago, we're seeing a lot of opportunity to continue to innovate ahead of the competition. So I believe our product positioning also continues to improve. So even though we're number one in this space, we view there being lots of opportunity to expand our lead. And we're going to keep investing in R&D to make sure that happens.
Siti Panigrahi - Wells Fargo Securities LLC: Thanks for that color.
Adam Miller - Cornerstone OnDemand, Inc.: Thank you.
Operator: Thank you. Our last question comes from the line of Corey Greendale of First Analysis. Please go ahead.
Corey Greendale - First Analysis Securities Corp.: Hey, thanks for taking my question. Two, actually. First of all, on the Recruiting product, now that you've revamped that, any early signs of level of uptake or how the product is operating in the market, relative to the solutions that new customers might have had before?
Adam Miller - Cornerstone OnDemand, Inc.: Yeah, so as I've said before, I'm extremely bullish about Recruiting. We think it's a very significant opportunity for us. We have lots of clients in the install base that have both Learning and Performance Suites. But not Recruiting. So we're actively going after that portion of the market. We're also seeing good attach of Recruiting around the world in public sector, in Asia, in EMEA, and in Latin America. So we're seeing a lot of opportunity in the Recruiting space. We've significantly invested in the product. I think you'll see us continue to invest in the Recruiting space. And that, we believe, will result in significant incremental ARR over time.
Corey Greendale - First Analysis Securities Corp.: Okay. And then one for Brian. I think in your comments, you pointed out that the correlation between growth in users and revenue may break somewhat, given some things you're doing. All the factors you listed sounded like they would result in revenue growth higher than user growth. But I also know you're doing well at the upper end of the market, which presumably has the opposite effect. So I just want to clarify, is the concept that we should expect revenue growth to outpace user growth?
Brian L. Swartz - Cornerstone OnDemand, Inc.: I think it's not one way or the other, Corey. The point of my comments, as we go – as we think about moving forward, I think it's best to think about modeling the business in the context of ARR and ARR roll forwards from year-to-year, and not building it up by users relative to ARPU, and how ARPU can change in any given quarter. So that was really the nature of the comment. We don't run the business based on users. We run the business based on products and market, and opportunity, and ultimately, ARR, and growth in ARR, and obviously renewals, which flow through to that. So that was the nature of the comment. We don't believe it will be as correlated in the future as it has been in the past. And that's a better way to think about how to model our business.
Corey Greendale - First Analysis Securities Corp.: Got it. Thanks, and great work on the quarter and year-to-date.
Brian L. Swartz - Cornerstone OnDemand, Inc.: Thank you.
Adam Miller - Cornerstone OnDemand, Inc.: Thank you, we appreciate it.
Operator: Thank you. At this time I'd like to turn the call back over to Adam Miller for any closing remarks. Sir?
Adam Miller - Cornerstone OnDemand, Inc.: Thank you, and thank you to everyone for joining us today. As always, I especially want to thank our global team for all of their great work during this transition to help nearly 37 million people around the world to realize their potential. We look forward to seeing you at the upcoming investor conferences, and on our non-deal roadshow. Thank you.
Operator: Thank you, sir. Ladies and gentlemen, this concludes today's conference. Thank you for your participation and have a wonderful day.